Operator: Good afternoon, and welcome to the ITM Power Plc Final Results Investor Presentation. Throughout this recorded presentation, investors will be in a listen-only mode. Questions are encouraged and can be submitted anytime via the Q&A tab situated on the right-hand corner of your screen to click Q&A scroll to the bottom type your question and press send. The company may not be in a position to answer every question received during the meeting itself. However, the company will review all questions submitted today and publish responses where it's appropriate to do so. Before we begin, we'd like to submit the following poll. I would now like to hand it over to Dr. Graham Cooley, CEO; and Andy Allen, CFO. Good afternoon.
Graham Cooley: Good afternoon. Thanks for the introduction. Thanks to everybody for joining the call. So this is the results presentation for the full-year ending April 30, 2022. I'm Graham Cooley. I'm the CEO of ITM Power, and I'm also joined by Andy Allen, who's our Chief Financial Officer. So it's been a very important year for ITM Power. Actually, it was an important year last year, and it will certainly be an important year next year as well. I'm going to talk you through very briefly the macro picture in which we're working. I'm going to talk you through the product road map, the production road map, and then I'm going to hand over to Andy to talk about finances and guidance. And then we'll run through a quick summary at the end. So the macro picture then developing a very significant macro picture in the energy markets. So what you see on the right-hand side is a graph of the spot market price for natural gas in the U.K., it's a five-year chart. What you can see is prior to the Russian innovation of the Ukraine, a steady price for natural gas is somewhere around £30 to £40 per therm. And actually, we've entered an unprecedented period, a period of the geopolitization of fossil fuels, the weaponization, you might say, of fossil fuels and the gas price is very, very significantly higher. In fact, this is unprecedented in history. The result of this is that industrial green hydrogen is now very expensive. And actually, as a result of that, green hydrogen now has parity with industrial hydrogen. Not only does it have parity with industrial hydrogen, it has lower volatility. It gives you energy security, and it's also net zero. I can show you some examples of prices up £210 per therm for natural gas. You turn that into industrial hydrogen, which is used in huge volume worldwide, you're looking at $4 per kilogram and that doesn't include the carbon price. At £500 per therm, you're looking at an industrial hydrogen price of $10 per kilogram. And between those two values, we have been sitting for some considerable time. The significance of this, of course, is that governments around the world are looking to energy security packages and to get themselves off of Russian gas and the market is massive. The market alone for industrial hydrogen is 70 million tons per annum today, and that's equivalent to 600 gigawatts of electrolysis. So the macro picture for green hydrogen, it is very, very significant. And people often ask me, well, what happens when natural gas prices normalize and what you see is a futures graph for natural gas from Bloomberg. We used to be at around £30 to £40 per therm. Their view over the next period and out to 2027 is that natural gas will normalize up to £1.40 per therm. So we will still have a gas price which is significantly higher than it used to be, and we'll still have green hydrogen parity all over Europe even after that normalization. So our backlog, our backlog is 755 megawatts. Only 10% of it, 77 megawatts, is under contract. 340 megawatts is in the final stages of negotiation and 338 megawatts is preferred supplier status. If you look at the graph and you add up under contract plus in negotiation for three periods, that's the top of the gray bar, the three periods, it hasn't changed. And if you look at it to the top of the yellow bar, which also includes preferred supplier status for two periods, it hasn't changed. So what's going on? What is going on is that under this very important macro picture, we have the EU, the U.K. and around the world implementation of policy, policy that means that green hydrogen can find the market that we all predict it will find. But today, those policies aren't in place. And so FIDs, that's a financial investment decision, the final investment decisions have been happening. And actually, we had a very important piece of news from the EU that the first important project of common European interest had passed and gone, and we've delegated them to the nation states. So I'm expecting that those projects under negotiation will unwind pretty rapidly as this policy goes into place, but that's the reason. So we have some delays on those decisions, which are out of our control. We also have delays which are within our control, and that is new product introduction, particularly at Leuna. And I'm going to talk you through where we are with that, and I think there's incredibly positive news about that. So a mixed picture of a very strong backlog tempered with the need for final investment decisions. But during all of this, we really have been cracking on. We've started serial manufacture of our new product, which we are deploying at Leuna. We're working very closely with Linde Engineering. REFHYNE has been running at full load. We have first hydrogen at Leuna, and I can tell you that we have now manufactured all of the stacks for Leuna. In the photograph, you can see four of the modules which are deployed at Leuna, and I'm going to show you more photographs of the plant as we go along. We've been investing in skills. Those skills are required for deployment, and we've been very careful about our underlying costs. And very importantly, we've modified our manufacturing strategy and plan so that we can optimize our capital deployment. And again, I'm going to tell you more about that as we go along. So first of all, the product road map. So at REFHYNE, we have deployed the first generation of our 2-megawatt module, MEP 1. It's 20 bar deployed at the Rhineland refinery with what was at the time the world's largest electrolyzer and the largest one still at a refinery, and we've demonstrated at 100% load and some great successes in terms of technical results. And I'm going to show you the technical results in the coming slides. In terms of Leuna then, we moved up to a cube, which has module, which has a higher efficiency and a higher pressure responding to targets, and we've now achieved first hydrogen. And that is the unit that we then integrate into the 10-megawatt module announced by Linde at their webinar on the 7 of July. And that's the platform that we build a much larger plant. So I'm going to show you some results. It's the first time we've shown results. So let me explain this chart, first of all. This is performance of our electrolyzer stacks. You can see, first of all, that as you go down the diagram, you reduce the amount of energy required to make a kilogram of hydrogen, kilowatt hours per kilogram. Okay. That means, as you go down the diagram, you're increasing efficiency and also reducing OpEx. And as you go across the diagram, you're reducing CapEx because you're increasing current density. So at any one time, a snapshot, what is the efficiency of your electrolyzer, it depends on the current density. So an efficiency diagram is a line. And you can see for the stacks at REFHYNE with Shell, the line is significantly lower than the FCH JU target for 2020. That was the target we were responding to. 2.0 ounce per square centimeter, we needed to be below 55-kilowatt hours per kilo. In fact, we've beaten target by some considerable margin and are much more efficient. Of course, as the industry develops, the targets move. And the FCH JU 2024 target is our higher current density to produce a lower CapEx and also it is at a lower energy rating. So how have we responded to that? Well, with Leuna. Leuna, the cubes are increased efficiency and also increased pressure. You can see the green line is the line of efficiency against current density for the very first modules and stacks that we have made for Leuna. Now if you look at the PEM average across the industry, we're also better efficiency than the PEM average. And you could also look at the red line, which is where we think we'll be with continuous improvement. Certainly, that's borne out with all sorts of development work that we've done. Where you want to be, of course, is in the bottom left-hand side of the diagram. And if you extrapolate the line down, you'll notice that we are higher efficiency than alkaline electrolysis. And the reason for that, and I've been saying this for a long time to analysts, is that the only reason alkaline electrolyzers came to be high efficiency is because they work at high – at low current density, okay? If you get to high efficiency at high current density, then you're better maximizing reduction in CapEx along with reduction in OpEx. So we have world-class technology in the field as evidenced by both REFHYNE and the Leuna project. If you look at the picture you can see on the right-hand side, four of our modules on site at Leuna. If you look at the right-hand side, you see Linde's balance of plant. What you can see in that picture, it is those 11 rectangular boxes or 11 power supplies. Actually, the plant has 12 power supplies. The reason there's only 11 in the picture is the other panel supply has been at ITM Power. We've been working with Linde at on-site at ITM with Linde engineers at ITM and the ITM engineers at Leuna and have had a very successful first deployment and the collaboration between the engineers on the ground is extremely good. So very pleased to be able to show you those results. The production road map, again, a very important announcement for us. We have expanded the nameplate capacity of Bessemer Park from 1 gigawatt nameplate to 1.5 gigawatts. This is all about us sweating our asset in the U.K. and putting our money on the ground with an existing asset. So in October 2021, we had a plan of one gigawatt per annum in the U.K., building a new factory, aviation park, an additional 1.5 gigawatts, taking us to 2.5 gigawatts in the U.K. And then building an international factory, taking us to five gigawatts per annum across the whole of our portfolio. We made the decision to invest in an existing asset and not to build Aviation Park. So what are the reasons? Well, first thing is we didn't want a construction project on our critical path and on our expansion path in a period of uncertainty and inflation. And actually, construction projects are going up in cost because the costs in the supply chain. And there also, many of them are delayed. We also are seeing more and more incentives and deals to build factories all over the world where those incentives, and I'm talking about very significant distributions, are not available in the U.K. So we've made a strategic decision before we spend any CapEx on Aviation Park to expand our existing asset to then move one gigawatt of capacity into our 5-gigawatt aspiration and do 3.5 gigawatts internationally, maybe in more than one country seeking incentives demand and government support. And I think this is very important news for ITM because it conserves capital and more highly gears the capital that's been entrusted to us by investors. Our existing assets today, Bessemer Park, has now been reworked and nameplate capacity has expanded to 1.5 gigawatts. I'm going to show you the buildup of manufacturing capacity at Bessemer Park. We've also been working hard to exploit Europe drive, which is where we do our engineering development and where we will be developing the larger electrolyzer platform and doing the prototyping, that's 18,000 square feet. We also announced Kurt Strasse in Germany, which is our EU rapid response center, 17,000 square foot. We are, at the moment, in the advanced stages of looking at testing sites. And we're looking for outdoor testing for FAT and validation with power supply somewhere between 15 and 25 megawatts. And with these four facilities, we will be developing using existing assets and buildings and taking off of our critical path construction. In terms of remodeling Bessemer Park and getting to 1.5 gigawatts per annum. Our plan, incremental deployment of capital, we can expand the capacity and we will expand the capacity according to the blue bars. We also have an additional optional capacity and can deploy further capital assets in the factory within eight months' notice. And so what we're doing is deploying the capital incrementally, responding to demand. And we're talking about a very well-defined product now. It's very well tested at Leuna. We know exactly what we will be building. And so deploying the capital with the manufacturing equipment is much lower risk for us. Test capacity always needs to be in advance of manufacturing capacity. It's absolutely same principle. We have test capacity that we are deploying in blue, and we have optional additional test capacity that we can bring online quickly, effectively deploying capital as demand builds. So I'm going to hand over now to Andy Allen, our Chief Financial Officer, to talk you through the finances and the guidance. Andy?
Andrew Allen: Thanks, Graham. Hello, everybody. So I'm going to talk about the finances. The themes of the year as sort of snapshots of the financials and try and pull out some of the features that are affecting those financials. So in terms of the themes of the year, the big ones for ITM Power were those delivery and positioning. And Graham has already shown you the two major projects that we were in the process of delivering during FY2022 and that Shell REFHYNE [indiscernible] installation into the commissioning stage and also overcoming delays with the Leuna project. We've telegraphed that earlier in the year, but there was some supply chain, but then also unlocking manufacturing and testing bottlenecks as we went. In terms of looking forward and positioning the company, we've been looking at key resource both at the top of the company, but also ensure that we have staff for delivery, and I've got some slides on that. We've been building for the future in terms of future products, following through in terms of building to WIP and completing on contracts that are committed. And finally, we have the joint venture with Vitol for motor fuels. So in terms of the financial snapshot. On the right-hand side, you see a picture of our annual report that is going to printers very soon and will be published towards the end of September. In terms of numbers, the sales revenue was £5.6 million against £4.3 million the year before. That £5.6 million, we flagged out fairly early, it's disappointing for us. We had hopes to recognize revenue to do with Leuna as part of the FY2022 numbers. And that project is now in delivery in the current financial year. In terms of adjusted EBITDA loss, we had a loss of £39.7 million, up from £21.7 million. The big impact of that is gross losses. And I'll show you a bit about what those gross losses are made up, but gross losses were up £23.5 million for the year, up against £6.5 million for the year before. All of this is done with the backdrop of a strong balance sheet with a cash balance of £366 million at period end, and we spent about £53 million in the year, of which £25 million contributed to work-in-progress at year-end. So in terms of revenue, I've got a series of bridges here, which will take us through the features of the P&L and the cash flow. On the left-hand side, the gray bar shows you the revenue from the year before, £4.3 million. On the right-hand side, you've got the revenue for the year we're reporting of £5.6 million. And in the middle, we have the features that affect that. So what we have is an increase of £1.7 million on containerized projects. A large feature of that is that we were delivering REFHYNE, recognizing that revenue on percentage of completion in FY2021. With REFHYNE broadly fully recognized before FY2022, we would expect that the modular program with Leuna would have recognized revenue going up, but we've delayed that revenue until this year. So that will appear, in the most part, financial year FY2022, 2023. Finally, the big impact on the right-hand side, £900,000 of feasibility studies and fuel sales. Those feasibility and FEED studies give us partners and also projects to develop into the future. So revenue for the full-year, £5.6 million. In terms of gross loss, it's a very similar bridge. So on the left-hand side, we had losses last year of £6.5 million at a gross margin level. And this year, it's at £23.5 million. There's three main features that have contributed to that. Firstly, we provided for first-of-a-kind warranty. We provided £2.2 million against that. And typically, we're providing a two-year warranty on our products, and that can be extended at extra cost. And you can see that only 1% of that was utilized in the year. So we're going to be collecting data as we go through the next few years as to what that right warranty provision is, first-of-a-kind plant, but we see that dropping to below 3% of sales price in the longer term. In terms of contract provisions, we've seen increased costs, particularly around the REFHYNE projects, increased testing and some manufacturing activities to do in Leuna, particularly around labor costs. We provided an extra £13.8 million in the year, of which £7.4 million was unwound by activity that was completed before year-end. And the final part of that is a lot of those costs have to do with staff. Partly, we've increased the adsorption rate of our staff cost, but partly with the increased headcount, we've been able to apply more staff to get in these projects delivered and over the line. So gross margin loss of £23.5 million. In terms of EBITDA, last year, we had an EBITDA loss of £21.4 million, and this year, it's at £39.9 million. I've already spoken about the impact of the gross loss. We see some of that in the flip side in overheads. So by recharging more of our staff, both cost of sales and to development costs as we develop new products, you saw a reduction in staff charged to overheads. That reduction was about £5.2 million before £1.1 million of consultancies added for short-term solutions to projects. We also incurred up to £4.5 million of research costs on the P&L and operation in the Bessemer Park with a larger workforce, more activity going through the shop floor of £1.3 million. So an EBITDA loss of £39.9 million for the year. In terms of cash, we started the year with £176 million, and the activities in the year would have taken us to £123 million with the exception that we also raised £243 million in Q4 last year in a fundraise. So we ended the year with £366 million. In terms of the activities in the year, we spoke about the losses. There were two features on the balance sheet. Firstly, building projects that are committed contracted projects to WIP cost £25.8 million. Against that, we've received a further income. And also, we've managed to get better payment terms with suppliers, improving our working capital position by £18.9 million. And finally, we've increased our provisions for contracts by £9.5 million net in the period. In terms of investing for the future, we spent £4.7 million on our joint ventures. About £1.9 million of that was with ILE, matched by Linde, developing sales channel under larger projects. The balance was to do with the investment in Motive, not only the investment and the deal itself, but also to set up with operational costs and also matched by Vitol, so that Motive can very much develop its business plan. We've also invested nearly £4 million in fixed assets at Bessemer Park and a further £7 million on product development for future generations of our technology. So all told, we had a cash flow of £53 million before the fundraise of £243 million, giving us £366 million at year-end. A little bit about people. So we've had three senior hires in the company, all of them very recent. So Tim Calver joined us about two weeks ago as Commercial Director. So Tim's history, his most recent role was at Ernst & Young as head of the hydrogen awards practice. Before that, he reported to the CEO of RWE. And before that, had a longer background in the power industry. And so it's great to have Tim on Board. Denise joins us as a Non-exec Director, Denise Cockrem. She has experience both on AIM and on full-list companies as a CFO. And finally, we will be welcoming Vicky Williams as CoSec in November, and Vicky has significant governance experience on the AIM market. It's not just at the top of the company that we are recruiting. We're also recruiting new early years employees as well as staff for delivery of our projects. These red jackets show that these people are going through their induction on the shop floor and starting their journey with ITM Power. We're delighted to welcome them and absolutely focused towards delivery of our projects. Final slide for me, some guidance for the current year and a little bit about FY2024 as well. So in terms of product revenue, we're expecting that to be in a range of £23 million to £28 million and that's reflecting 48 to 65 megawatts worth of revenue recognition. 48 is quite an easy number, actually. It's 24 megawatts for Leuna, 24 megawatts delivered at Yara, and on top of that, we will be installing and commissioning containerized solutions from sites throughout the second half of this year. In terms of an adjusted EBITDA loss for the FY2023, we're expecting £45 million to £50 million loss. And we've seen an increased focus on maximizing our overheads and optimizing those so that we can get the best out of our people. In terms of capital expenditure, we'll spend between £30 million and £40 million in the year. The £15 million – between £10 million to £15 million of that will be equipment going into Bessemer Park and reworking Bessemer Park to get to that 1.5 gigawatt capacity. The balance will be towards product development, particularly next-generation platforms of the product. What we'll see in FY2024 is a reduction in the factory CapEx but a continuation of those project development costs – product development costs, sorry. In terms of working capital, we'll be building to stock between £40 million and £60 million worth of product. This is going to be particularly containerized systems for smaller applications. This is a strategy that we've articulated before about reducing lead times, and we see an opportunity to respond to the market that is demanding short lead times and representing an opportunity for ITM Power. FY2023, we'll see that working capital being deployed into inventory and WIP. FY2024, we'll start to see that unwind as we recognize sales against those units. So that will be a consistent theme going forward. In terms of cash burn for FY2023, we see a range of £110 million to £135 million of cash flow. Graham?
Graham Cooley: Great. Thanks, Andy. So just a quick summary from me. As I said right at the beginning, it's been an important year for ITM Power, working closely with Linde on the first deployment of the new modules. Look, the key has been the macro picture, getting to cost parity, energy security plans and the adoption of green hydrogen moving forward rapidly with ammonia and refining. And that has to be tempered by a need for final investment decisions as a result of long-term incentives and policy. And so you see the macro picture developing in advance of the final investment decisions, and that is the key dynamic that's going on in the industry. We've made very strong operational progress working with Linde, and we've developed a plan that ensures CapEx efficiency across the new manufacturing strategy and also in operations. So that's the results announcement. Now there was one other announcement this morning at 7:01, and that was about my decision to stand down as the CEO of ITM Power, to continue with ITM Power through a transition period and to welcome a new CEO into the company and then adopt a new role at ITM Power, reporting to the Chairman and the CEO in a strategic role. It is absolutely logical for me to do that at this stage. I've been the CEO of ITM Power now for 13.5 years, and the skills that are required to take the company forward are the skills of a world-class manufacturing professional who has expanded a manufacturing organization internationally. So I very much look forward to finding the individual, introducing them to ITM and working closely with them as we go forward. And of course, that's all very important for me because I'm a major shareholder in ITM Power with a very significant amount of my own personal wealth and effort, of course, in the company. So I think I'm very well aligned to making good decisions about those things with all of you shareholders. So any questions?
Operator: Fantastic. Thank you very much indeed. Dr. Cooley, Andy, for updating investors today.  Ladies and gentlemen, please continue to submit your questions using the Q&A tab situated on the right-hand corner of your screen. Just for the team to take a few moments to review those questions submitted already. I'd like to remind you that a recording of the presentation, along with a copy of the slides and the published Q&A, can be accessed via your investor dashboard. I'd now like to hand you over to Simon Hudson to post questions to the ITM team where appropriate to do so. Simon, if I may just perhaps ask you to start and read out the question and even who it's from, that would be great. Thank you.
Simon Hudson: Thanks, Paul. Question from [indiscernible]. How long will it take to recruit a new CEO? And do you have any candidates?
Graham Cooley: Yes. We don't have any candidates right now. We will be working with a very well-known and major recruitment firm. You might say, well, why have we decided to announce this before we've even started the process, and the process is beginning right now. And I think the answer is very simple. When you do a recruitment with very significant individual, actually, you go through a process and that process isn't necessarily good at retaining press-sensitive information. So we wanted to tell the market right from the beginning. The other thing is that if the process is won, the account is visible publicly, it's likely to find the most important candidate. So for those two reasons, we elected to make the announcement as early as possible. And I'm pleased we did because I think that's the right thing to do. What skills will we be looking for? Well, I referred to them earlier. I think we'll find a very significant individual that's gone through the journey that ITM Power will be going through to internationalize its manufacturing business. So an important process for us and a process that I'm going to be fully engaged with and supportive of.
Simon Hudson: Does the five-megawatt stack design achieve a maximum real-world potential for PEM electrolysis technology? And do you think there's room for further technology improvements in the future?
Graham Cooley: Yes. I mean technology is all about continuous improvement. And you can see our move from the stacks deployed at REFHYNE to those at Leuna that we've been very successful about beating continuously moving European targets. And those targets have been really well thought out by the EU, by EU experts to optimize CapEx and OpEx together. And actually, I think we've been the market leader in meeting and clearly exceeding those targets. And that continuous improvement journey will carry on, and it will carry on through the development of a larger stack platform and also the way that, that stack platform is integrated. So in development and continuous improvement, you never stop. You always have to stay ahead of the game.
Simon Hudson: Thank you. Question from [Robert]. Can you give us your thoughts on the date year that the company will cease burning cash?
Graham Cooley: Yes. I mean there's considerable research notes and guidance out there. I can't put that number out into the market. I can tell you that if you have research notes, then you'll see what the analysts' opinion are of that transition. But being explicit on this call isn't something I'll be able to do. You can see from guidance, though, that things are now between this year, next year in terms of the topline moving quickly.
Simon Hudson: Could you elaborate a little bit more on the time line for the introduction of the five-megawatt stack platform? And when you think that will be available for purchase by customers?
Graham Cooley: Yes. So we learned some very considerable lessons when we introduced MEP 1 and now that we've introduced MEP 2 at Leuna. And one of the things we know now is that product introduction, validation and working with Linde Engineering on validation is very important. And I think we will be going through a strong process of product introduction. I can tell you this, that actually integrating two megawatts into the 10-megawatt cube, to a certain extent, from a customer's point of view, leapfrogs the five-megawatt units anyway because we are now talking about integrating with customers 10-megawatt modules based on our two-megawatt units being integrated together. So in some sense, it's looking inside the 10-megawatt module isn't something that concerns customers. They want big building blocks, and that's what we have with the 10-megawatt unit.
Simon Hudson: Thanks. What territories are under consideration for your next international giga factories?
Graham Cooley: So look, when you look at hydrogen, you make the lowest cost green hydrogen in places where you have considerable amounts of low-cost, high load factor renewable power. That's how you make low-cost green hydrogen. You also – as the intervention and the amount of renewable power goes up, you need more and more long-duration energy storage. So that's the first consideration. Lots of high load factor renewable power. Second is you need strong policy. There is – has incentives and also has a firm policy that's long enough duration for investors to make investments. So we need hydrogen strategies as well. And there are many places in the world where these two things are combined. So Europe, the U.K. obviously are now in important territories. Also the U.S., Australia, the Middle East and additionally, South America. So I think there are many places around the world. For ITM Power, it's all about accessing major government grant funding so that we can gear our CapEx and also looking at our – the incentives that our potential customers have got in the market. It's a combination of all of those things.
Simon Hudson: What's the value of the Leuna project?
Graham Cooley: Yes. I mean I think we've already made a number of announcements about revenue recognition. Do you want to say a bit more about that with regard to consensus and so on?
Andrew Allen: Well, I mean, the value of the 48 megawatts of modules, which, I repeat, is broadly in the region of £23 million, which is £23 million you have as a minimum for this year's expectations. The scope between the two projects changes slightly, but that's 48 megawatts of contracts.
Graham Cooley: And that's what's in the guidance slide.
Simon Hudson: Thank you. You were planning to, for Aviation Park, to be fully automated. Will Bessemer Park get some full automation or will it be the first international factory?
Graham Cooley: So we will develop the automation, firstly, the number of selected processes, and we'll be doing that now at Bessemer Park. And we'll be progressively automating our process here. And when we build the next factory, there will be additional automation. The word fully is an interesting word. I think we – if you look at a number of the interviews with Elon Musk on automating Tesla factories, you'll see that he says there are some processes, and I totally agree with this and so do our engineers, there are some processes that are very appropriate to automation and others that are less appropriate. And we are working very closely with our specialists and consultants to work out how we introduce automation and with which processes. So absolutely automation is, without a doubt, on our road map and it's part of our cost reduction exercise. But let me tell you this. The parameter that gives you the most rapid reduction in CapEx is current density. As I showed you in the diagram, as you increase the current density, so long as you retain the same efficiency, i.e., the same OpEx, you reduce CapEx because for a given size of electrolyzer, you can make more hydrogen. And all the components get smaller because the amount of power that you put in is across a smaller area. And it's a square function, that means it's rapid cost reduction. So when you see us talking about increasing current density, we're talking about decreasing the capital cost of the equipment.
Simon Hudson: With some offshore wind taking center stage, what's the current situation with the OYSTER project?
Graham Cooley: Yes. So I'm not going to disclose on this call specifically where we are with any of our projects. I can tell you that we work very closely with Ørsted in a number of different areas. And the size of the projects that we're working on – I mean, for instance, the largest project we work on with them there is direct coupling is in Humber side. And as you know, there are now – there's now a round of bids for 250 megawatts in the U.K., which was announced when the Hydrogen Business Model was announced. And there's a second phase in the U.K., a 750 megawatts, and that should be announced before the end of this year. So the U.K. government are moving forward with some significant CfD funding in the U.K.
Simon Hudson: Are you fully financed to get to the 5-gigawatt production target?
Graham Cooley: So we are being incredibly careful with our CapEx so that we will be fully funded, but we are gearing it. And we're gearing it with government funding so that we can reduce the overall capital deployment but still get to the five-gigawatt aspiration that we had. So the answer is yes.
Simon Hudson: Can you talk us through how it's going with Motive and what their plans are for rollout of stations this year and next year?
Graham Cooley: Yes. So the good news with Motive was the publication of the consultation of the RTFO, which was published a couple of months ago. That one follows the low-carbon hydrogen standard, which means according to that standard, there's a relaxation in additionality and correlation, something that we've all been discussing with the Department of Transport. I think the new Secretary State for transport, Anne-Marie Trevelyan, is a great supporter of hydrogen in transport for heavy vehicles, that means for buses and trucks and trains. And we know not only the Secretary State for transport, but also some of the ministers and a lot of the civil servants in the department. So concentrating on buses, trucks and trains and those transport modes that come back to the same place to refuel, I think, is a strategy that's now being validated by the U.K. government. So we have a very strong relationship with Vitol. We see more and more vehicle manufacturers producing heavy hydrogen vehicles. There's an announcement nearly every week about heavy vehicles that go back to the same place to refuel. So I think a very positive outlook for Motive.
Simon Hudson: Did you incur any CapEx on Aviation Park? And what happened to the land that you purchased?
Graham Cooley: We didn't purchase the land. But Andy, maybe you'd like to talk to that one.
Andrew Allen: Yes. Certainly. So as Graham said, we didn't purchase the land. We incurred design costs for a 1.5-gigawatt factory. So we have plans, which we can pull out again as we develop the international factory locations anew. So no sunk costs, and we've taken our first step towards that international factory in terms of design.
Graham Cooley: We've reviewed our manufacturing strategy very carefully with the Board before we deployed any capital. We made sure that we were responding to a rapidly changing world. We have not put a construction project on our critical path. We deployed the capital at the existing factory so that a construction project susceptible to world inflation isn't on our critical path. And I think it's a very well thought through new strategy.
Simon Hudson: How do you see the relevance of ammonia in your product mix? Do you think it could reach 50% of product sales?
Graham Cooley: Yes. So the market for industrial green hydrogen made using natural gas is slightly more than 50% ammonia. Most of the rest is refining. There is some metals treatment as well. There is actually, before I move on from that point, it's not just the 70 million tons of clean industrial hydrogen made with a very carbonizing route, but also syngas for the production of methanol uses an additional 20 million tons that takes you to 90 million tons. So ammonia, is it important? Yes, it is. Why it's important, very important, for this reason, that ammonia is the world's fertilizer. And as the price of natural gas goes up, the price of industrial ammonia goes up. We have the first major ammonia project with Yara, 24 megawatts, and that's an important reference plan in the industry. But let's be very clear, we are in an energy crisis that's led to a crisis in the cost of fertilizer, which will lead from this planting season on to a food crisis as well. And look, the world is getting itself into a position referred to as the FFF crisis which is food – sorry, which is fuel, fertilizer and food and that's all derived from the politicization from the geopolitics, weaponization of natural gas. And you can fight that with two things, one is renewable power and the other one is green hydrogen, means that you have net-zero molecules and net-zero electrons and that helps you with the climate crisis and also with the energy and food crisis.
Simon Hudson: Just got time for a couple more questions. Do you have any thoughts on the U.S. Inflation Reduction Act and what it does to the potential cost of green hydrogen production? And what are your plans to take advantage of it?
Graham Cooley: Yes, it's a very significant announcement. It's a significant announcement because there's a tangible incentive, $3 a kilogram. Now we have a hydrogen strategy, and we have an energy security strategy in the U.K. and the same in Europe. We have in the UK one of the first CfDs ever to be announced for green hydrogen. It starts with 250 megawatts, moves at the end of the year to an additional 750, making a gigawatt. But there isn't a specific price incentive per kilogram for hydrogen, whereas there is in the U.S., $3 a kilogram. That makes it more tangible. It makes the business modeling and the investment decision easier. And I've been talking to the UK government across Europe about the need to be that explicit about the incentives. So I think it was an important announcement by the Biden administration.
Simon Hudson: Okay. Last question. We're considerably over time. How much hydrogen do you think will be deployed into the metals market for a direct reduction of iron to displace blast furnaces?
Graham Cooley: So I think the first introduction of green hydrogen into the steel industry won't be in the blast furnace. I think there will be incremental decarbonization. First, starting with the blanket gas that's used in steelmaking, in steel fabrication. The next will be the use of hydrogen and oxygen combined at blast furnaces to batch the hydrogen into the fuel gases and also use the oxygen as oxygen torches, which is, of course, why you have so much oxygen supplied to the steel industry. The direct reduction iron is absolutely essential because the steel industry is a huge emitter, and we have to have a replacement for the primary reducing agent, which is carbon, which is inside coke. And so DRI, direct reduction iron, is the only strategy, net-zero strategy, that the steel industry has. So we will see its introduction, but I think it will be progressive. It will start with a blanket gas. It will move to batching the hydrogen into fuel gases and then move to direct reduction iron.
Simon Hudson: Thank you very much indeed. And Paul, back to you.
 :
Operator: Thank you very much indeed, Simon. Of course, the company review all questions submitted today and will publish responses where appropriate to do so on the Investor Meet Company platform. Dr. Cooley, before we direct your investors to provide you their feedback, which is particularly important to you, might I just ask you for a few closing comments, please?
Graham Cooley: Yes. So look, thanks for coming to this investor meet presentation. I think we made incredible progress in technology and our new modules and with working closely with Linde on the Leuna project. We were disappointed to meet the revenue recognition. I think we've given very clear guidance to the market about where we'll be. And I really look forward to working with the new CEO to take the company forward. And I think with a new guy at the helm that's got the experience that the company needs, I think we have a very bright future. So thank you for being a shareholder in ITM. That's important to me because I am as well.
Operator: Fantastic. Dr. Cooley, Andy, thank you indeed for updating investors today. Can I please ask investors not to close the session? Should be automatically redirected to provide your feedback in order that the management team can better understand your views and expectations. This will only take a few moments to complete and I know is greatly valued by the company. On behalf of the management team of ITM Power Plc, we'd like to thank you for attending today's presentation. That concludes today's session. Thank you, and good afternoon to you all.
Graham Cooley: Thanks, everyone.
Andrew Allen: Thank you.